Operator: Good morning. My name is Emma and I'll be your conference operator today. At this time, I would like to welcome everyone to the Chemours Company First-Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers ' remarks, there will be a question-and-answer session. If you would like to ask a question during this time, simply [Operator Instructions] If you'd like to address your question, again, [Operator Instructions] Thank you. Jonathan Lock, Senior Vice President and Chief Development Officer. You may begin.
Jonathan Lock: Hi. Welcome to the Chemours Company's First-Quarter 2022 Earnings Conference Call. I'm joined today by Mark Newman, President and Chief Executive Officer and Sameer Ralhan, Senior Vice President and Chief Financial Officer. Before we start, I'd like to remind you that comments made on this call as well as the supplemental information provided in our presentation and on our website contain forward-looking statements that involve risks and uncertainties, including the impact of COVID-19 on our business and operation and the other risks and uncertainties described in the documents Chemours has filed with the SEC. These forward-looking statements are not guarantees of future performance and are based on certain assumptions and expectations of future events that may not be realized.  Actual results may differ and Chemours undertakes no duty to update any forward-looking statements as a result of future developments or new information. During the course of this call, management will refer to certain non-GAAP financial measures that we believe are useful to investors evaluating the company's performance. A reconciliation of non-GAAP terms and adjustments are included in our release and at the end of the presentation. As a reminder, our prepared remarks, a full transcript, and an audio recording plus our earnings deck has been posted to our website alongside our earnings release. This morning's call will focus purely on Q&A. With that, I'll turn the call over to our CEO, Mark Newman.
Mark Newman: Thanks, Jonathan. And good morning, everyone. I hope everyone is well and thank thank you for joining us. As Jonathan said, and in keeping with our refreshing simplicity value, we have made a change to our earnings call format starting this quarter in order to make this time more efficient and useful for everyone here. So with that, Emma, we're now ready for Q&A.
Operator: At this time, we ask that you limit yourself to one question and one follow-up. Your first question comes from the line of John McNulty with BMO Capital Markets. Your line is now open.
John McNulty: Good morning. Thanks for taking my question. Congratulations on some really, really solid results. And I guess to that, like the TSS segment was a lot stronger than expected. And I suppose it's tied to a handful of things, whether it's the Aim Act, or less F-Gas dumping, or maybe even some mix. But I guess can you parse out the various buckets as to what drove kind of the huge jump in margins and the strength that you're seeing? Can you help us to understand that a little bit better? And how to think about the sustainability of that as we kind of look through the rest of the year and into next year.
Mark Newman: Hey, John. Thanks. And good morning. Let me start first with the quarter and then I will get into TSS. And then I'll ask Sameer to reflect on how he sees the numbers for the rest of the year in keeping with our guidance. The quarter was -- as you saw, was strong. It showed Chemours wide improvements with momentum in all three businesses, despite the all limitations which are affecting TT. And I think are really the beginning of evidence of long-term secular trends, which are going to benefit all three business, but in particular, will benefit TSS on low global warming refrigerants and propellant and foaming agents. And obviously, APM, as it relates to the mega trends, which are unfolding today on Semicon, hydrogen coming, EVs here. So there's a lot going on in the company that to me is showing the importance of our TSS and APM in the quarter.  And in the year, they're increasing contributions to Chemours earnings, which gives us confidence despite the all limitations on the guide that we've provided for the year. As it relates to your question. I think there's a couple of things going on in the quarter and in the year that I'd like to highlight. First of all, demand -- refrigerant demand remains very strong. As you can imagine, folks are coming back to offices, they're going to restaurants, they're are going to hotels. So lots of demand here on stationary that we like. Clearly, demand on auto OEM is impacted by the ongoing Semicon shortage. Q1 was particularly weak as you'll see from the earnings reports by OEM customers. But full-year is looking as a year-over-year improvement from a volume perspective based on IHS. Obviously, where the market, there's some structural shifts having in the market. Here in the U.S. obviously the implementation of the Aim Act is taking effect at a time when demand is strong.  Clearly there's some supply issues as it relates to China that are also affecting availability. So, Q1 is particularly strong. But as we look out to the year, our view is demand remains very strong on the institutional stationary side. And the AMAK framework is working. We're also encouraged by ongoing developments in Europe to make F-Gas better. So maybe I'll ask Sameer to see if there's any other commentary on full year, but this is a great business, long-term secular growth, multiyear secular growth, and EBITDA margins north of 30%.
Jonathan Lock: Yeah, Mark. I think, just quickly while one other thing I would add is that you're going to think about the year. The trends that you talked about regarding the TSS business, we feel very strong about how they will be shaping the rest of the year and that's all reflected in the guide that we have given. The market and the regulatory mechanism is at work and it's been I think the entire portfolio of the TSS business, so we feel really good that despite the automotive OEM demand headwinds, we are in a very strong place, so TSS business is firing on all cylinders.
John McNulty: Got it. That's helpful color. And then maybe Mark to one of the other points you brought up on the or front, it looks like that may be a little bit of an issue and it may drag on a little bit longer than you thought. I guess, can you give us an update as to how you're thinking about that? And also, I think you were looking to add capacity from it on the TiO2 front through debottlenecking over the next couple of years. I guess, how does the or supply issues start to factor into that as you think about that capacity coming on?
Mark Newman: Yeah. So maybe I'll answer the question in a couple of ways. As we look at our ore situation for the full year, we now recognize that we will remain ore constrained into the second half. When exactly in the second half is moving around but our guide contemplates probably not having ore constraints resolved meaningfully before Q4. With that in mind, I think we've been able to narrow the range of outcomes, clearly our guidance range got narrowed, so yeah, we now acknowledge that this is going to go into Q4 but the team has done a phenomenal job of finding ore where it can. And so now the range of outcomes in terms of ore availability, in my view, are more well-defined. And then the third point I'd make is we continue to give priority to our contracted customers and to the highest value application.  So the team has done a nice job first on making sure we're serving our strategic customers with whom we want to grow and obviously, as we focus on higher-value applications and our price mechanisms, we're staying ahead of cost inflation. And then I think the last question that you asked was capacity. Yeah, we continue to focus on capacity and releasing the 10%. We're more constrained for your few more quarters, but that's not the way we plan to run the business. And in fact, as you saw, one of my four focused priorities, as CEO, is really to continue to take steps on improving the earnings quality of TiO2 through the cycle. We have the best book of business, we're servicing those customers despite being more constrained and we're focused on how we expand capacity to grow with those customers as well as take actions that will reduce earnings volatility through the cycle.
John McNulty: Got it. Thanks very much for the color
Operator: Your next question comes from the line of Arun Viswanathan with RBC Capital Markets. Your line is now open.
Arun Viswanathan: Great, thanks for taking my question. Congrats on the progress this year. You cited some positive dynamics within stationary. I guess when you include that and maybe some recovery in OEM, do you believe -- what do you think the foundational level of earnings for TSS, and would be I guess maybe if you could give us some growth rates or maybe some margin levels or anything that would help us frame how that business is doing.
Mark Newman: Yeah. We're -- Arun, great question. I'll just remind everybody we're going to have a TSS mini Investor Day in May 16 actually where we'll provide a lot more insights into that segment. It's been on our list to do and clearly we feel the time it's right. I view this business and Alicia and her team see this as a business with multi-year secular growth. I think we would say it's in the mid-to-high single-digit range as people adopt low global warming, not just refrigerants which are bread and butter but propellants for all of many different applications as well as foaming agents. So the team is doing a phenomenal job on making sure we have capacity in all of those verticals to let it drive the adoption of low global warming products both in the EU and in the U.S. and then around the world.  So then we see it here, this is a -- we could call it a decade of secular growth, mid-to-high single-digit in a business that we think in a long term has EBITDA margins in the low 30's, clearly this year we're off to a great start, so we might be higher in this year but generally speaking, we're looking to capture the growth with EBITDA margins north 30%.
Arun Viswanathan: Thanks, that's very helpful. If I could there as a follow-up, just ask about [Indiscernible], would you expect any updates there by year-end, maybe a settlement with water districts? What are you working on that side? Thanks.
Mark Newman: So you know, we are -- we are very focused and it's one of my three priorities to continue to manage and resolve legacy liabilities consistent with the MOU. Last year, as you know, we were able to reach an agreement with the state of Delaware in North Carolina where we're very focused on the remediation work and in specific there's a barrier wall, work that will reduce seepage to the Cape Fear River. So the team's very focused on that. And then I'd say the three companies are aligned, having signed the MOU to move forward and to have a bias to resolve legacy liabilities. But do that in a smart way that our shareholders and our stakeholders and our communities would applaud. So the work there is ongoing. I won't comment to specific outcomes in the future. But you should know that the team here, including our General Counsel, Dave Shelton, is quite focused on getting something done here.
Arun Viswanathan: Thanks.
Operator: Your next question comes from Josh Spector with UBS. Your line is now open.
James Cannon: Hi guys, this is James Cannon on for Josh. I was wondering if you could talk about the TSS pricing in the quarter was up quite a bit. If you could just share some comments on how much of that is your actions versus market dynamics and if that's -- if the pricing in HFCs is driving a little bit more of a shift towards up beyond if that's faster than you're in need for expectations.
Mark Newman: So thanks for the question. We continue to see increased adoption in Opteon and the related improvement in mix as a result of that. Clearly, as I said in my earlier remarks, the market demand in stationary, which is particularly bias to HFCs today or legacy refrigerants, is very strong. And in some respects, there is a seasonal factor in the year, but there's also, I think the impact of a lot of folks returning to offices, travel, picking up as you've seen, and just a greater demand for institutional use of stationary refrigerants, which today remains bias to HFC. So the team is very proactive. From a pricing perspective, I wouldn't want anybody to think that this team isn't very focused on the supply demand and dynamics. And to your point, there's regulatory impacts aimed here in the U.S. F-Gas in Europe, which are providing a structural shift in the marketplace, which will continue for many years to come.
James Cannon: Great. Thank you.
Operator: Your next question comes from the line of Mike Leithead with Barclays. Your line is now open.
Michael Leithead: All right. Thanks. Good morning, guys. Maybe just first to comment, the switch the conference call format straight to Q&A is awesome, for what it's worth. I guess I wanted to go back or kind of stick on T&SS. I was hoping, can you just kind of talk about what you saw in the market on the legacy or HFC refrigerant pricing side this quarter. And maybe you can you just update us on how the illegal imports situation in Europe is going.
Mark Newman: Well, first of all, Michael, thanks for the feedback on the call forum. Another core value for Chemours is being customer centered. So it's good to get some customer feedback in this regard. On TSS, the pricing on HFCs, as we said, is really being driven by both the structural shifts in the marketplace, driven by the Aim Act here in the U.S. and F-Gas in Europe, as well as the demand that we're seeing for a whole host of factors that I already mentioned. We're very encouraged by ongoing enforcement actions in Europe. They're also some draft regulations as it relates to enforcement in F-Gas in Europe that we're encouraged by. Those regulations are now in effect, but clearly, as an industry participant, we'll be very helpful in working with regulators there. I also want to give recognition to the EPA in the Aim regulations here in the U.S. They went out of their way to learn from what happened in Europe and to take steps, and maybe I'll ask Sameer just to comment on some of the EPA actions that we think are helping. But clearly, this is a combination of both market demand and as well as this favorable impact of the transition from HFCs to opt-in taking place in the quarter. Sameer?
Sameer Ralhan: Yes. Thanks, Mark. Michael, let me just address, add a little bit more color on the pricing side for us and then I'll move to the EPA enforcement. On the pricing side, as Mark said, the current -- the market dynamics is strong but as we step back, Opteon is a low global warming potential that [Indiscernible] into the future. And we're very well-positioned to help our customers transition to this new technology over time. And so as we kind of think about the solution offerings that we're providing to the customers, ultimately, it's a value in used pricing. So the way you should be thinking about the transition of our business is be it the TSS and the APM, it's all about value and used pricing. And that's what you're seeing in a margin in the TSS as well as in the APM businesses.  So that's the first thing under pricing. And then on the EPA side and the enforcement especially as we look in the U.S., as Mark said, it's been great to see how EPA learns from some of the things in Europe and really putting some mechanisms in place which give us sort of comfort and confidence in the ability to enforce the AMAK. And I won't go into all the specific,s you're going to hear a lot from Alicia on May 16th on these things but simple things like having standardized [Indiscernible] score, the QR tracking, even a 14-day advance notice for bringing in any material into U.S. which gives the customs and border control all the time to figure out better the people importing the products are ready quit allowances are not. And also the -- what's been phenomenal is there's a cross agency task force that's already been set up to coordinate all the things which took a while in Europe to get in place.  And that includes Customs and Border Protection, Department of Homeland Security Department just as we look across all the agencies that cross-agency thing is in place. And last thing I would say is on the AMAK does provide the Clean Air Act Authority the ability to impose similar and criminal penalties. Again, if you go back to the Europe experience, it took a while to get people, everybody on the same page. So there's a lot of teeth and the mechanisms are already in place, which gave us comfort in how we -- the structural trends that we're seeing in the transition of refrigerants, it's really providing us nice pricing power in the market.
Mike Leithead: That's super helpful context. And then maybe second one for Sameer, if I look at the full-year outlook, you read EBITDA guidance by quite 160 million at the midpoint. Operating cash flow though only goes up about 50 million or so, which is may be a little bit lower conversion than I would have thought. Why is that?
Sameer Ralhan: Yeah. That's primarily just because of the working capital dynamics as we kind of look at how the supply chain has threats in the marketplace right now as we think about driving the growth in the business, then you want to make sure that we are well-positioned to have inventories in place. To be on the raw side, on the product side, there's nothing more to it. It's mostly driven by the working capital.
Mark Newman: Yeah. If I could make a couple of comments, obviously working capital with higher -- higher input costs is a bigger investment on our balance sheet today. Obviously, we're getting rewarded for that in terms of the margins in our business. The guide though, indicates that it's greater than 550. If you take 550 and divide it by the midpoint of the range, you're at a 36% cash conversion and we typically want to be in that 35% to 40% cash conversion in our business. So view the 550 as a floor in the guide. The other point I would make beyond working capital is, as we look, especially in some of our APM businesses, which by the way had a record quarter, we're seeing demand for our Teflon PFA that goes into the Semicon industry here in the U.S. And we're already -- we're expanding our capacity, but we're already sold out on that expanded capacity. And we're seeing years of [Indiscernible] that are double-digit.  So we want to leave ourselves some flexibility in our free cash flow guide to make very prudent investments in areas of the business where we see candidly explosive growth for multi years to come. So again, there's nothing wrong with our cash flow guide. It's a floor. But I also, from a shareholder perspective, want to make sure that you understand that we're seeing some opportunities in all three businesses consistent with our shareholder value of creation focus that you would want us to make in this calendar year.
Mike Leithead: All right thank you.
Operator: Your next question comes from the line of Hassan Ahmed with Alembic Global Advisors. Your line is now open.
Hassan Ahmed: Morning, Mark. Much just wanted to revisit some of your commentary about our constraints. Just wanted to better understand, is it primarily a function of logistics and supply chain/shipping issues or is there something more secular going on there? And if there is something more secular, what does that say in terms of the prospects for industry capacity growth?
Mark Newman: Hassan, I wouldn't point to anything that's more secular at all here. Clearly, within a 12-month frame, which is our fiscal year 2022, I think we're acknowledging that starting the year with Richard's bay minerals force means you're having that further compounded by the conflict in Ukraine. That within this 12-month frame, there's limitations on what you can do, and that's just based on our access today on the spot market. Also, you mentioned logistics in your question, even if you identify ore today, it takes a lot longer to get it to our shores here or where our plants are located. So it's not a secular point. It's really just a recognition of where we are with respect to fiscal year 2022. Again, I would expect us to be beyond this sometime in Q4. And again, we just felt like it was time to acknowledge that. And as we updated the guide to make sure it was clear, that it was part of our guide. And clearly, it will limit TT volumes in the coming quarters. I would expect us, for example, to be flat in Q2, in a quarter that normally is higher. And so I think I just -- I want to maybe call out that this is a fiscal year 2022 issue which will affect our next two or three quarters.
Hassan Ahmed: Understood. Very helpful. And as a follow-up, sticking to TT, obviously, we've seen a fair degree of raw material inflation, going to -- be it chlorine, be it all. On the other side, pricing for pigment has been strong as well. As you holistically take a look at the global cost goals, I mean, how would you see it right now. Are some of the marginal guys still the course of all of these moves still in the red. And if they are what percentage do you feel are in the read right now?
Mark Newman: Yes. Clearly, Hassan, I'm not going to comment on our competitors. But we're very grateful for where we seat on the cost-curve and our continued focus on efficiency. So we -- today obviously, and we've said on prior calls are reinforce it here. Our EBITDA margin in this business is unlikely to be at its target level of 25% or mid-twenties until we're not or constrained. But I'd say as I look at the cost dynamics in the world, I'm glad that the majority of our plants are tied to natural gas here in the U.S., even though those prices are also up. I think our ability to weather costs -- input cost increases is good because of how efficient we process or into pigment. And again, the team has done a great job in working this, both from a procurement, supply chain perspective, but also in how we've run our operations very well in TT and in all of our business candidly. But in TT, despite being more constrained.
Sameer Ralhan: Hassan, I'll just add one more point, is look, I mean, overall as you look over the longer term, cost curves are definitely important but also it's kind of what's becoming more and more apparent in the markets and that we cannot look it from the customer's perspective as our value proposition. Let's go back to the TVS. It's ability to supply on time being able to meet the commitments even in these tough supply-chain conditions is also helping how we're going to think about the growth of the business and ultimately the pricing and -- of our product and the margin that we can generate. Mark is going to talk about the raw material issues that we're seeing. On the pricing side, I think we've done a phenomenal job in staying ahead of the inflationary headwinds but the whole issue, it does play into the margin as well if that's where you're headed because all the constraints do limit our ability to optimize the circuit and that's reflected in the margin profile as well.
Hassan Ahmed: Very clear. Very clear. Thanks for your time, Mark.
Operator: Your next question comes from the line of Matthew DeYoe with Bank of America. Your line is now open.
Matthew DeYoe: Morning. Speaking with TT tier 2 pricing was 24% higher year-over-year should curiously strong when you consider the tie up, the TPI and their contracts. So like how are you securing this big of an increase given your sales mix and how much is tied to just like the purchase price?
Mark Newman: I think it's a great question and obviously the team has done a really nice job of taking it advantage of the tight marketplace and higher input costs and as Sameer just said, staying ahead of our inflationary impacts. If you look at the PPI adjustments that we've seen in the last -- we are -- PPI adjustments take place twice a year. They've been actually quite high. Clearly, we continue to improve the book of business and the mix of customers. And so as folks come into the fold, they're paying not yesterday's prices, but today's prices. And then finally, a portion of our business runs through our flex and distribution portal. And those are more akin to spot prices which are very high if you can get the product. So, it's a combination of all three factors. And I just -- there has been a view historically that with TBS, we wouldn't have pricing power. And I think we've proved the market wrong with that regard.
Matthew DeYoe: Okay. And to give a fair amount of Europe exposure, auto exposure, etc. I mean, how did your volumes and how do the market demand trend through the quarter? How does April look? How is the May order book looking, just given the a lot of concerns on the macro.
Mark Newman: It's hard not to hear all the posturing about a recession coming, in the recession in 2023. Clearly, when we revised our full-year guide, we're very aware of all the macro issues facing us and so we wanted to be more constructive in our guide by identifying what would constitute a low-end or a high-end scenario, but with the expectation that today, we'd be towards the middle of the guidance range. As I look across our three businesses, demand remains strong. North America is clearly the strongest around the world, but I'd say even today we see very good demand in both AP and EMEA. And to a lesser degree in Latin America. So demand remains strong, and in several product lines. We remain sold out. In APM, for example, where we had a record quarter, there's quite a shift going on in that business from a mix perspective.  So yes, some of the consumer coatings business is down, but our Teflon PTFE in battery applications for EVs is way up. Our membrane business on hydrogen is really starting to take hold. And then as I said early on, Semicon we're sold out and were sold out for years to come. So yes, I see -- I hear a lot of posturing on global macro. We take those risks seriously in our planning. But we're seeing very high demand across our circuit. And Sameer,
Sameer Ralhan: Yes, Mark, the only other point I would make it's with respect to the 2022, inventories have a role to play in this thing as well. Because if you look at the inventories, at least from our vantage point through the supply chains and where we play inventories are pretty depleted. So as we're going to look at 2022, we feel pretty good about the demand from that perspective as well.
Operator: Your next question comes from the line of PJ Juvekar with Citi. Your line is now open.
Eric Petrie: Hi, this is Eric Petrie for PJ. In your TSS segment, your main competitor in HFOs, and that's the doubling your capacity in fourth quarter of last year, and I know you finished your Corpus Christi expansion back in 2019, how do you see your capacity needs going forward in any associated Capex, to build that out?
Mark Newman: Great question, Eric. And when we installed our Corpus capacity, it was a 3X expansion. And our view was, we were sizing our expansion with both the Aim Act, or essentially U.S. adopting the Kigali amendment of the Montreal Protocol plus F-Gas in Europe. So we continue to watch capacity on our base refrigerant business. We've brought other capacity online with some other HFO molecules at our El Dorado facility last year. And Alicia and the team continue to look out on that business with respect to staying ahead of the curve on capacity. Clearly, this is a business today that not only has very high EBITDA margins, but is also generating a lot of free cash flow. Because essentially we've done a lot of the front-end work already in investing in capacity and investing in the molecules. But clearly over time we'll need to consider how we invest in capacity to support a decade of secular growth in this space. So more to come on that front, but we're appropriately sized for where we see the market today.
Eric Petrie: Thank you. And then a question back on the pricing of 40% in the quarter. Is that sticky for the remainder of '22 or how do you see comps as supply issues in China resolve and so forth?
Mark Newman: Yes. So there's -- I would say the quarter, in my view, is a combination of some of the coming off of COVID factors which continues as we come into -- here into Q2. The structural shifts that I mentioned aided by regulatory actions and just strong economic demand globally. So clearly, remember that this business tends to have more seasonality in the first half versus the second half and obviously, some of our pricing actions are in anticipation of some cost increases we see coming through the pipeline that will hit us in the second half. So our long-term goal for this segment is to be in the low 30s EBITDA margins with the kind of growth rate that I talked about but clearly with the strong start we had to the year, we could be higher.
Eric Petrie: Thank you Mark.
Operator: Your next question comes from the line of Laurence Alexander with Jefferies. Your line is now open.
Kevin Estok: Hi, this is Kevin Estok on for Laurence. Thank you for taking my question. My first question has to do with your non-U.S. operations. I guess I was wondering how you expect lockdown in China to impact your business for the remainder of the year and like in the European front, if you've had any meaningful sales in Ukraine, Russia, and Eastern Europe, and whether you will get natural gas from some other location. Thank you.
Mark Newman: Clearly, we're monitoring the situation in Ukraine and in mainland China, and our thoughts and prayers go to those folks who are impacted in a very stressful way, given the humanitarian issues. As you saw, we did suspend any operations in Russia, our business with Russian entities. We had announced that along with charitable contributions to aid in the humanitarian crisis. But I'll ask Sameer to comment more specifically on the impact of both China, which we mentioned as part of our guidance, and the Ukraine in the quarter.
Sameer Ralhan: Thanks, Mark. As we going to look at Kevin from the Russia and Ukraine perspective, what we've said is, our revenue is around 1% in the previous year, so and majority of that wasn't the TT business, given the supply demand dynamics that you're seeing in the TiO2 in the industry, we don't see any issues placing that volume in other parts of the world, so we feel pretty good from the topline perspective that it shouldn't have any major impact. And overall, when you look at from the cost perspective, in this quarter, we did take a charge of roughly $10 million tied to our operations, tied to some of the receivables and inventory write-offs. [Indiscernible] - that, we don't anticipate any impact for the rest of the year. And on the China side, look, I mean, it's an interesting market. We are looking -- keeping a tab very closely on that. Each business gets impacted in a slightly different way. But overall, we don't expect material impact at this point from a direct overall.  If China stays shutdown, yes it will have an impact on the product Chinese economy and its spillovers into the global economy accounts. Speculative today, as sitting today and speculate on that. But overall our businesses, we do procure some raw materials from there though supply chains are really stretched with those, with the shutdowns that we're seeing. But our businesses and our partners are very constructive and helping us get the material. So where we are in a good position right now. And then our electronics chain, will be -- keeping on monitoring as well, any impact that may have on the APM business. That's the only one I would say, which we are exposed for demand perspective. So this line, the impacts that we anticipate are reflected in the guide we gave.
Kevin Estok: Thank you.
Operator: Your next question comes from the line of Vincent Andrews with Morgan Stanley. Your line is now open.
William Tang: Hi guys. This is Will Tang on for Vincent. Just a quick follow-up for me just on the Chinese -- the China side. We've been seeing kind of Chinese TiO2 exports, I guess, continuing to increase sequentially year-to-date. Can you talk about what you're seeing in the region in terms of, I guess, local production and demand and to what extent you see heightened exports putting a risks to TiO2 price elsewhere? Thanks.
Mark Newman: Yeah. First of all, we see very limited intersection between China exports grades and the markets and customers and applications in which we serve, so. We've also noticed that but I'd say it has limited impact on our book of business. Our business in China on the TiO2 side tends to be at the high end of the spectrum both from a coatings and laminates perspective. A lot of our work in the laminates area are for the export market of high-end furniture, for example. So, so far our demand in China on TiO2 remains very strong and I'd say, yes we understand there's more product coming out of China in part because of Chinese demand being down for those products but they have very limited impact on our book of business globally and in terms of the customers and businesses that we serve.
William Tang: Thank you.
Operator: That concludes today's Q&A. I now turn the call back over to Mark Newman.
Mark Newman: Yes. Thank you, everyone. And we look forward to seeing you-all very soon at our Investor Day, mini Investor Day with respect to TSS, there's been a lot of great questions on the call and we just felt it was time to share more on that great segment with you going forward. In closing, I would just like to reinforce that we remain focused on our four key areas of long-term value creation. And some of which you witnessed first time in the quarter. The first is to improve our TT earnings through the cycle while growing with strategic customers. As I said, we have the best book of business, and Ed and his team continue to take steps that will make that business higher earnings quality with a great cash conversion it enjoys today.  Our second objective is to drive secular growth in TSS and API -- APM behind class-leading products with innovative chemistry. As you see in this quarter, TSS is already off to the races, but there's much more to come. In APM, we're starting to see the impact of the mix shift related to higher-value applications. Our science in APM is the heart of clean energy, whether you're thinking of hydrogen or EVs, or in the advance electronics revolution that's happening today. Clearly we're very integral to Semicon. We're one of the -- we are the only use producer of PFA. And our Teflon PFA is key to the global Semicon market, but also to all the efforts on reestablishing a U.S. Semicon supply chain. So we're very excited about our work there in that area. And as I said earlier, the hydrogen revolution is happening on both sides of the Atlantic and our Nafion membrane will be key to driving the de -carbonization of the planet.  Our third objective is to continue to manage and resolve legacy liabilities consistent with the MOU. This isn't a key area of focus for a few dedicated professionals in the company. And as I said earlier, all three companies, having signed the MOU, are keen to make progress in this area. And then finally we will continue to return the majority of our free cash flow we generate to our shareholders. We made meaningful progress in completing the existing shareholder authorization which we intend to complete in Q2 and in our recent meeting with our Board, they have approved a new $750 million authorization through 2025. And you know what, my way of thinking is we will continue to invest behind one, two, and three to really drive significant value to our shareholders but Item 4, in returning the majority of cash through both dividends and stock repurchases, has the impact of compounding the value creation over time.  So we're very excited as a leadership team and as to how we can drive significant value for our shareholders and I want to share with you that everyone is focused on these four key priorities which we think will pay significant dividends in the years to come. Thank you and have a great day.
Operator: This concludes today's conference call. Thank you for attending. You may now disconnect.